Operator: Good day ladies and gentlemen, and welcome to the Quarter One 2013 Gevo, Inc. Earnings Conference Call. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of the conference. (Operator Instructions) As a reminder, the call is being recorded for replay purposes. And now, I would like to turn the call over to Mr. Mark Smith, he is Gevo’s CFO. Please go ahead, Mark.
Mark Smith: Good afternoon, and thank you for joining Gevo’s first quarter 2013 conference call. I am Mark Smith, Gevo’s CFO. With me is Pat Gruber, our Chief Executive Officer; Brett Lund, our EVP and General Counsel; and Chris Ryan, our President, COO and Chief Technology Officer. Earlier this afternoon, we issued a press release, which outlines the topics that we plan to discuss today. A copy of this release is available on our website at www.gevo.com. I would like to remind our listeners that this conference call is open to the media, and we are providing a simultaneous webcast of this call to the public. A replay of our discussion will be available on our website later today. On the call today, and on this webcast you will hear discussions of non-GAAP financial measures, non-GAAP financial measures should not be considered in isolation from or as a substitute for financial information presented in accordance with GAAP. Reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures is contained in the press release distributed today, which is posted on our website. We’ll also provide certain forward-looking statements about events and circumstances not yet occurred, including projections of Gevo’s operating activities for 2013 and beyond. These statements are based on management’s current belief, expectations and assumptions and are subject to significant risks and uncertainty, including those disclosed in Gevo’s most recent annual report on Form 10-K as amended, which is filed with the SEC on Morch 26, 2013; and in subsequent reports and other filings made with the SEC by Gevo. Investors are cautioned not to place undue reliance on any such forward looking statements; such forward-looking statements speak only as of today’s date and Gevo disclaims any obligation to update information contained in these forward-looking statements, whether as result of new information, future events or otherwise. Please refer to Gevo’s SEC filings for detailed discussions and of the relevant risks and uncertainties. In today’s call, Pat Gruber, our CEO will begin with a review of our recent developments; Brett Lund will provide an update on legal proceedings and recent progress on the IT front. I will then review our financial results for the first quarter of 2013. Following the presentation, we’ll open the call up for questions. Chris will also be available for the question-and-answer section of today’s call. I will now turn the call over to Pat Gruber, Gevo’s CEO.
Patrick R. Gruber: Thank you, Mark, and thanks everyone for taking the time to listen to our quarterly call. There are six topics that we will address on this call. First I will update everyone on the progress that we’ve earned. Second, I will make a few remarks about our victory over Butamax in the patent litigation. Third, I’ll comment on our recent shelf or S-3 filing. Fourth, I’ll tell you about a new supply agreement we signed with U.S Army, under which they will purchase our renewable jet fuel. Then I’ll update you on our supply agreements with U.S Air Force and U.S Navy. Finally, I’ll tell you about the bio-para-xylene plant we are building to supply Coca-Cola and Toray. Let’s start with Luverne. Now that the lawsuit with Butamax is over, I want to give you a little more color about what we are doing at Luverne. As most of you know, we started the commissioning of Luverne last summer, and made approximately 150,000 gallons of crude isobutanol. We validated that our plant was making isobutanol commercial-scale scale. However, we’ve also seen contamination from other organisms in the plant. Organisms that came in from the environment, we were able to overcome the infections that we had expected from our experience running our yeast at the St. Joe demonstration plant. And from testing from Luverne, with the longer we ran, the more we saw the need to address equipment improvements, that is best done without the plant fully running. Contamination in new plants is completely normal and expected. In the fermentation technology deployments that I’ve been involved with is always something to overcome, it was a variability of contamination of the fermentation combined with the very high cost of corn last summer involved that caused us to close our production of isobutanol, take a step back and find a better way to optimize the plant. The outside material from the environment coming into the process, things we didn’t know about causes the trouble. Now Luverne is still in the commissioning process, we will likely complete that process in about the same time that would take to fully commission a new ethanol electric acid plant. I want to make sure that everyone is clear in this next point. We never shuttered Luverne. We’re shifted over to making ethanol. We’ve been a role model and using a base approach to bring this plant back up on isobutanol. Now let me talk about these phases. The phase was to identify the issues. We looked at all aspects of our plant, determined that controlling contamination (inaudible) fundamental issue. There are three aspects to this. One, was performance itself; two, equipment and its configuration; three, our procedures. Now we call this operating discipline. This is the actual know-how of the process, the actual steps that we take, what our people do in that plant as we operate. I’ll cover each of these points. So first, regarding the bug performance. Our bug was performing reasonably well, although we were using our bugs in fermentation process conditions that were suboptimal. Now, the fermentation operating conditions are referred to as a fermentation operating window. We had traditions that disproportionally favored previously unknown infection bugs. These are actually bacteria primarily. And our work over the last several months, we had started to create fermentation conditions, these are things like nutrients, and other process conditions that favor our yeast and hinder the infecting microorganisms. When we bring the plant back up, we essentially use the same variant of the yeast bug that we used last summer and fall. Our yeast is not the fundamental issue, infections were. That said, we will always continue to improve our yeast streams and we do have a next-generation yeast in the works right now and eventually we will deploy it and we’ll always be ongoing in further evolutions of our yeasts. Our team has been making very good progress on them. Second, to eliminate the infections and to operate the plant more simply, we had to make several equipment changes. As part of the changes, that we can clean, sanitize and sterilize more easily. These big ethanol plants are not sterilizable in a conventional sense like a pharma plant. And so there are places that we have to modify. By running the plan, somehow we could find those places and make those changes, identify it, they need to make those changes. The other part of the equipment changes we’re done to allow us to operate. One fermentation trained with the GIFT system to allow us to start up the plan what we call a single train system. That is a full scale fermenter with a full scale GIFT. This approach is much easier to manage while we are commissioning, rather than trying to run all of the fermeters we have in the 3 GIFT systems all at once. These equipment modifications were completed a couple of months ago. The third thing we had to do and have done was review and I have to focus on operating discipline. This involves meticulous comprehensive review of literally everything single procedure involved with operating plan. I'm talking about how to sterilize or sanitize the fermenter full slave, How to add chemical? how to add enzymes? how to control temperature? how to add other nutrients, define every single step, every single procedure no matter small and ? Net, given our plants ethanol plant you can manage like a chemical plant in a blurry? It requires discipline, we have our procedures in acewith our team to pin down the issues of operating discipline particularly as it relates to infection within every single procedure in the (inaudible) and determining the best approach to mitigate infections. We think w did the majority of the operating disciplined review; we have our procedures in place. We have a team dedicated just for this purpose. We have just completed a phase of our plant to be called by open testing – vibrant esting is a process, we fill up tanks with carbohydrate feedstocks and nutrients and hold it for periods of time and look for contamination. I’m happy to report that quicken the modification that we made and the few changes the operating discipline that we have a lot us, put a vibrant testing with success and we are ready to move forward. We make tremendous improvements in reducing and eliminating infections, this know-how that we just developed is key for doing any retrofits strategy. We’ll soon be entering the next phase of our conditioning process and this is what we call running the plant in single train mode. As I mentioned already one of the equipment changes we made during the conditioning process, once to have the ability for Luverne to run in single train mode. Single train gives us the ability to isolate each of the fermenters with the GIFT systems. Rather than being all connected together like they were previously. A single train would be one full scale fermentation system. By the way our fermenters are each about one million leader supplies, along with a single GIFT unit. This allowed us to create a control as we learned the technology at full scale. And it allows us to keep the interaction amongst the fermenters to be occurred set back. As we mastered the single train mode, we will do the fourth phase, we plan on putting our other fermenters and give systems in the full scale production altogether. We expect to get all the systems up and producing in 2013, along the way we plan and signed the product we produced. We’ll make decisions about how much and how fast to run the plant, once we see corn prices, oil prices, isobutanol prices later this year. But in the meantime, as we run we’ll be making and selling product. Our team has done exceptional job conditioning Luverne, solitary issues and solving them, it does really, really nice work. Now I’ll move onto the lawsuit with Butamax.. There seem to be some confusion over what happened, so I wanted to really, really clear. We want clear cut, Butamax admitted that Gevo doesn't infringe their 188 and 189 patents in the Delaware Court entered the final judgment of non-infringement in our favor. All right, Brett Lund will make a few additional comments in a moment. Next I'll comment on our shelf or S-3 filing. You may recall that we put a shelf in place last year, which we used for a secondary offering. Once effective shelf provides an important longer-term financing tool, it’s important to note that the shelf is generally good for up to 3 years. Also the shelf we filed is a universal shelf and supports a broad range of securities more than just common stock. We think it's a matter of good corporate governance that companies like us in our stage of development to have an updated shelf on file. It allows us the ability to agile and opportunistic should the right conditions arise. Likewise we have an open buyback program approved by our Board, subject of course the insider trading rules. This too allows us to be opportunistic. Mark will comment on the details of the filing in a few minutes. In the meantime, we are focused on getting the planned back up that's the major focus for our company. The sole focus really of our company, you get train up and running our efforts are the technology and plant, that's where our money goes. It is worth noting that we reduced our quarterly burn to $12.6 million in the first quarter, and that's down from $25 million in the fourth quarter of last year. Now business development is continuing, this is my next point. This quarter we signed a supply agreement with the U.S. Army to sell them renewable jet fuel, made from our isobutanol. The contract provides for the U.S. Army to purchase up to approximately 15,000 gallons of renewable jet fuel, which they plan to use in helicopters with jet engines. We also completed the first shipment of bio-jet to the navy over 800 gallons. They will use the material to conduct combustor recasting on the jet engine used in the U.S Navy’s F-18s. That will happen early next month. For the Air Force, we’ve now completed over 7000 gallons of shipments year-to-date. So there is a continued validation of our biojet in their platforms. This is in addition to 11,000 gallons we shipped to the air force last year. So biojet is shaping up to a great opportunity for us. And of course, we’d make this down at our Silsbee, Texas jet fuel demonstration plant. We’ve studied building our paraxylene plant at South Hampton resources and Silsbee, Texas. Remember, paraxylene is the single biggest components of PET. That’s the plastic diffused in water and beverage bottle in fibers. Our pilot plant will produce renewable paraxylene from our isobutanol. They’re a leading technology company in PET and other polyesters. It has been a great partner for us and it funded the construction of this plant and that’s agreed to purchase the bio-paraxylene from this plant to divert it to fully renewable PET. The PET will be used by coal and other end users. We continue to get strong interest from the PET industry for renewable PET and this is driven by their interest in diversifying feedstock and minimizing risks for petroleum feedstock. I now turn the call over to Brett Lund our general counsel who will give you more color on electric property and legal matters. Brett?
Brett Lund: Thanks Pat. It was an outstanding quarter from an IPM litigation perspective. As Pat mentioned we won the litigation covering Butamax’s 180 and 89 Pound, their self described foundational pathway pack. Not only did we win the case, but we won it the best way possible without even having to go to trial. There are two types of patent infringement; literal infringement, where you actually do what is claimed in the patent and doctrine of equivalents infringement, where you do something that is equivalent to what is claimed in the patent. The court granted us summary judgment for non-infringement under the doctrine of equivalents, and Butamax subsequently admitted that we don’t literally infringe their patent. This is really an important concept that I want to highlight. Summary judgment is an extraordinary remedy that is not often granted by the court. However, in our case the court felt that the issue of infringement under the doctrine of equivalents was so clear cut that it didn’t need to go to the Jury and the court found it in our favor on that issue before the trial. The next day, Butamax admitted that we don’t literally infringe their pattern and concede with the case. In addition to winning the case, the court also invalidated key claims in Butamax’s patent that purportedly covers the deletion of PCD of pyruvate decarboxylase. PDC is the enzyme responsible for production ethanol. You need to delete PDC in order to produce commercially viably yields of isabutanol. Gevo discovered and patented this concept before anyone else including Butamax. In recognition of Gevo’s efforts the USPTO granted GEVO U.S. patent number 8017375 or a 375 patent, which covers the deletion of PDC for the enhanced production of isabutanol. We are assuming Butamax for infringing this patent and trial a schedule for August of this year. Now, all three traditionals decision in this IP dispute have landed squarely in Gevo’s favor. We won the preliminary injunction, we won the appeal of the preliminary injunction and we won the infringement case. In addition to winning all three judicial decision every single claim in every Butamax patents that we have challenged at the USPTO during reexamination has been rejected and declared un-patentable. Butamax has filed an appeal of their loss to the Federal Circuit just like they did when they lost the preliminary injunction. The Federal Circuit is quite familiar with the subject matter of this disputes and previously ruled in Gevo’s favor. During oral argument, the Federal Circuit panel suggested that the District Court’s claim construction should be changed from solely NADPH-dependent to NADPH-dependent. The District Court followed the panel suggestion and changed the claim construction to NADPH-dependent. Now Butamax is appealing to the Federal Circuit that the claim construction of NADPH-dependent is wrong. It seems like it will be pretty hard for them to win this appeal when the District Court did exactly what the Federal Court suggested they should do. Now I’d like to spend a minute to discuss the reexamination of our 808 patent, which is one of our three GIFT patents. Shortly after we issued a press release announcing that a final judgment of non-infringement have been ended in our favor, Butamax issued a press release about an interim non-final office action where we overcame 110 rejection and where the GIFT patent remains only valid and enforceable. I was surprised to see Butamax issue a press release when our patent received an interim non-final office action and we overcame 110 rejections and our patent remains fully valid and enforceable. As a result of Butamax’s press release, there is quite a bit of confusion that I want to clear up. The 808 Gift patent remains valid and fully enforceable. During the reexamination process, the USPTO gave us 110 rejection that we needed to overcome to prove the merits of 808 patents. We successfully overcame all 110 rejections. This is a huge victory for us. In addition to dismissing all 110 prior rejections, the USPTO gave us small number of new rejections that they would like us to respond to. I'm confident that we will overcome the limited number of new rejections, just like we did with the previous 110. I should also mention that in addition to the 808 GIFT patents, we have two other separation technology patent that not only cover our GIFT technology, but also cover a separation technology known as liquid-liquid extraction, which is what we understand Butamax intends to use. Yes and when we have a commercially produced biobased isobutanol. We continue to grow our industry leading IP portfolio. This quarter the USPTO awarded Gevo two additional patents, U.S. patent numbers 8,373,012 and 8,378,160. Both of these patents are related to methods of making renewal hydrocarbons and/or jet fuel blend stock from our biobased isobutanol. These patents highlight the flexibility of isobutanol as a platform molecule and cover the chemical steps necessary to officially convert biobased isobutanol into various types of aviation and jet fuels, diesel fuels and gasoline. Today we were awarded a new patent, U.S. patent number 8,431,374 covering foundational methods for low-cost isobutanol production at commercially relevant titers, productivities and yields. Titer productivity and yield are three of the most important metrics in the commercial production of isobutanol and this patent covers the commercially relevant levels of all three. I personally don't see how it’s possible to produce isobutanol at commercial levels without access to this patented technology. Now, I’d like to turn the call over to Mark Smith. Mark?
Mark Smith: Thank you, Brett. Operations in the first quarter of 2013 remained focused on to optimize our isabutanol technology and anticipation of resuming isobutanol production at Luverne in 2013. While we are focused on operations, we’re also focused on being efficient in delivering on our objectives. Through direct actions taken over the past several months we have systematically reduced our cash plan. In fact, for the first quarter of 2013, we reduced cash therein to $12.6 million compared to a cash burn of $25.3 million in the fourth quarter of 2012. With our current operation status, we reported revenue in the first quarter of 2013 of $3.5 million, which included revenue onto our research agreement with Coca Cola, sales of bio based jet fuel to the U.S Air force. Revenue from ongoing research agreements in pursuit to $ 2.4 million from the reduction of excess corn inventory on hand. Our reduction of excess corn inventory is essentially a good work in capital management between the remaining corn on hand and locally available corns that’s purchased. We’ve sufficient access to corn feedstock for our future plant isobutanol production. Revenue in the first quarter of 2012 was $14.9 million primarily consisting of ethanol and related products. Research and development expenses $5 million in the first quarter of 2013, essentially the same level supported in the first quarter of 2012. The practice of our development activities in the first quarter of 2013 was on start up operations at Luverne and optimization of specific parts of that technology, the isobutanol production rights. We also want to talk establish bio-para-xylene processing and expand the capacity of our bio jet product plant at the South Hampton Resources Facility. Recall that bio-para-xylene processing equipment is funded under our agreement with Toray Industries to provide us with the funds of this plant last year in anticipation of this project. The expansion of the biojet processing capability reflects our success in expanding our testing relationships with the U.S. Air Force and the U.S. Army. The increased capacity is indirectly funded through revenue product testing and allows us to meet these militaries timelines. SG&A expense in the first quarter of 2013 increased to $7 million compared to $13.1 million in the comparable quarter of 2012. While the comparative first quarter 2012 include the one-time payments and the accelerated non-cash line expense of $1.4 million and $2.6 million related to the departure of two Executive Vice President’s. First quarter 2013 results benefited from cost savings resulting from actions taken in the second half of 2012 to reduce ongoing litigation and outside services expenses. These expenses were approximately $1 million lower in the first quarter of 2013, compared to the first quarter of 2012. In fact, our efforts to control litigation expense resulted in a reduction of $1.5 million in this line item from the fourth quarter of 2012, while we maintain us putting a victory in the codes. As we said during this last quarterly call, we will continue to aggressively expand our intellectual property and actually operate. Within total operating expenses for the first quarter of 2013, we recorded $1.1 million of non-cash stock-based compensation. Interest expense for the first quarter of 2013 was $3.3 million compared to $1.1 million in the first quarter of 2012. The increased results from interest incurred on our $45 million 7.5% convertible notes due in 2022, and which we received in July 2012, and also includes $1.6 million of non-cash amortization of debt issue process and discounts. We also reported a non-cash loss of $1.3 million related to changes in the fair value of embedded derivatives contained in the convertible notes. These derivatives result from the rights that holders of the convertible notes have upon conversion and will result in non-cash amounts been recorded in our statement of operations for changes in fair value in each reporting period while the convertible notes remain outstanding. Also during the first quarter of 2013, we reported a non-cash loss of $900,000 for the early extinguishment of convertible debt. As mentioned during the fourth quarter conference call, certain holders of the convertible debt opted to convert their holdings during the first quarter. In total, during the first quarter of 2013, holders of $9.2 million of convertible notes elected to convert their note holdings into shares of our common stock. Upon conversion, these holders received a total of 3,158,361 shares of common stock made up of 1,617,910 shares of common stock issued upon conversion of the convertible notes and 1,540,451 shares of common stock issued in satisfaction of aggregate (inaudible) payments of $2.7 million. The effective issue price in full settlement of the convertible notes converted during the three months ended March 31, 2013 was $3.76 per share. In the gross amount of convertible debt outstanding at March 31, 2013, before adjusting for the impact of fair value was $35.8 million compared to $45 million outstanding at December 31, 2012. For the first quarter of 2013, we reported a net loss of $18.4 million or $0.45 per share. This compares to a net loss of $19.3 million in the first quarter of 2012 or $0.74 per share. Cash on hand at quarter end was $54.1 million. As Pat mentioned, we filed an S3 registration statement at Shelf a couple of weeks ago. As you all know, Shelf is not an offering. Generally, a shelf can be used for three years after the date is initially declared effective by the SEC. Accordingly Shelf is designed to support longer-term financing goals. Timing for the Shelf is driven by technical considerations and including the requirements that we had a $75 million non-affiliated market capitalization within 60 days of filing as well as legal opinion and accounting consent requirements. We believe that is a matter of good corporate governance for continued development to have an up-to-date shelf to support future growth as it allows us once declared effective to opportunistically access capital markets when we foresee market conditions to be sizable. As Pat outlined, our planning focus in 2013 is on optimizing our isobutanol production technology to support resuming production of isobutanol at Luverne at economic rate in 2013. It will support our litigation efforts and influential property positions. In addition to our development goals in defending our freedom to operate, we also focus on limiting our cash burn. We’ve taken a number of organizational and operational steps in 2013 and 2012 to reduce our ongoing cash burn, which has resulted in a reduced first quarter cash burn rate. With the cash on hand of $54 million and the actions we have taken to manage our cash burn, we are strongly positioned to pursue our business objectives. We do expect period to period fluctuations in operating results resulting from activity on ongoing litigation and operational decisions resulting from product development and production activity at Luverne and at the pilot plant in South Hampton. I’ll now turn the call back to Pat Gruber.
Patrick R. Gruber: Thanks, Mark. Here the takeaway – we contribute to condition of plant. We expect to start up isobutanol single train mode relatively soon where we will learn how to run our GIFT technology at full scale without the complicity of running all the other fermentation units in the systems. Once we have the single train under control, we plan on bringing all four fermenters up with all three GIFT systems. We plan on having everything online in the second half of this year along the way as we operate and learning how to run the plant will be supplying our customers. We are very conscious of our cash burn rate cutting it from $25 million in the fourth quarter of last year to $12.6 million in this quarter. We will continue to be prudent in our spending, our focus is getting the technology deployed at full-scale. Now regarding Butamax, we won they lost, and our business development is going well. We can now open it up for questions, operator?
Operator: (Operator Instructions) Your first question comes from the line of [Michael Ritzenthaler] from Piper Jaffray. Please go ahead your line is open, Mike.
Unidentified Analyst: Just to make sure that we can understand the timing in as much details, it sounds like phase 1 is complete, loading and testing is done and phase 2 is due to start very shortly and that’s the window, I just want to make sure I understood. That’s the window that you consider to take – that will take as long as commissioning a regular plant. Did I understand that right?
Mark Smith: No, let me go through it again. So we just complete the vibrant testing, it is going well. We have got a couple more things to button up here and then we will start doing the single train mode and the first. And the first – when e do the single train mode, it’s going to take us several weeks to learn how to do it. So those are second quarter activities. As we move into the third quarter, we’ll be starting to – we’ll be ramping up the single train mode making any changes that are required and starting to spread it to other production trains. What I mentioned the – then later in the year, we’ll run it all together in a normal kind of a plant mode.
Unidentified Analyst: Okay.
Mark Smith: Yeah. And that’s actually – so it’s still basically a year is what I’m saying. Year to year and a half that normally takes, we’ll still be within that window even counting backwards from last year.
Unidentified Analyst: As so these initial volumes of isobutanol, they’ll be used to seed – I’m assuming that they’re not going to meet those types of a larger volume penetration you have. But they’ll be used to seize other markets, is that a fair assumption?
Mark Smith: I think it should be general purpose since we can do any market and the reason is that, we learned 150,000 gallons made last year, we learned how to make sure we can clean it up to make it meet all those specifications for any market.
Unidentified Analyst: Okay. And just one last one real quick on the cash burn; is this quarter representative of a run-rate or is there further reductions from the legal expenses. That can be quickest.
Mark Smith: Yeah, sure. Thanks Mike. I think that what we’re really talking about here is again there will still be some period to period fluctuations. But with the $54.1 million that we started off with – started 2 off with. We’re still projecting, we still have enough cash to get well into 2014. So this run rate is indicative – the actions we’ve taken – we’re certainly going to be running at lower rates than we did last year. That will still be period to period movements. And that will be a little bit illegal, a little bit when we did the start up activities at Luverne and also when we do work at the facility down in Texas.
Unidentified Analyst: All right, thank you very much.
Operator: Thank you. The next question comes from the line of Ben Kallo from Robert W. Baird. Please go ahead. Ben, your line is open.
Ben Kallo – Robert W. Baird: Hi, guys. Just jumping on Mike’s question there, Mark, can you just characterize it looks like $13 million reduction in cash burn, maybe if you can give us that percentages of how – cost reduction?
Mark Smith: Well, I mean, pretty much all the reduction – all the significant portion of reduction came from our cash flow from operations and it reflects a couple of things. It reflects, firstly, that we have made the genuine changes that talked about in the call here about how we reduced our operating cash burn and those are long-term changes to our organizational structure to the way in which we deploy outside services. And then as we’ve talked about a couple of times, we made some substantial controlling decisions around our legal expense. And we’re also helped out with the way in which the legal expenses and the legal case unfolded as well and we talked about this in the call we made (inaudible) according the quarter and that’s going to be part of the continuing effort on our part to manage our working capital. When I say there will be some period to period fluctuations around starting up the plant, for instance, if we have to buy feedstock to the plant, we will see some increase in working capital in those particular quarter. As we make operations decisions, Ben, then there will be changes in where cash flows are spent or generated. But we will be seeing a lower level of cash burn that we saw in 2012.
Mark Smith: I want to add something to this if I can. One of the reasons for doing a single train mode is that we can better control how much feedstock we use in any of the other ingredients fermentation and while we’re learning how to do it. It’s a much more effective way to keep things completely in a control, because we have to go through a period where we do learn the details here order on the GIFT system. And this is a much, much cheaper way to start the plant and learn how to do it, a little much more limited exposure. That you might ask yourself, “Gosh, the single train bounce off, brilliant idea, why didn’t you do it last year?” And the answer would be that we could have. Then we would know about the inspections, because inspections were actual results of interaction across the bigger system and across fermentation systems. So we wouldn’t have our remade the plant modifications. We still are facing that.
Ben Kallo – Robert W. Baird: Okay, fair enough. Can you give us a timeline, I know you don’t want to talk about your commercial production, but when you can actually start running on a single train?
Mark Smith: We’ll actually start to run a single train, we’ll be doing it. We’ll be doing that very soon. So that for second quarter type activity will begin. Now it’s going to take us a little while for what we’re doing, a little while is a period of a month or two or something like that is that kind of timeframe.
Ben Kallo – Robert W. Baird: Okay, Brett, on the new patent, can you talk about how that impacts any kind of litigation against Butamax, I know you’ve heard this, do you expect a little loss against them, and if can you give us on that and I’ll jump back to you.
Brett Lund: Sure, so as I mentioned the patent covers the commercial tighter productivity in yield needed to produce isobutanol in a commercially viable manner. And we have decided not to assert that patent against Butamax at this time because we haven’t seen any information that they are achieving those levels of tighter productivity and yield yet and they don’t have a commercial plant yet either. So we’re not asserting at this time, but obviously that pattern remains available to us if they achieve those levels.
Operator: Thank you. The next question comes from the line of James Medvedeff from Cowen & Company. Please go ahead. Your line is open.
James Medvedeff – Cowen & Co. LLC: Good evening, folks.
Patrick R. Gruber: Hey, Jim.
Mark Smith: Hi, Jim.
James Medvedeff – Cowen & Co. LLC: People have been asking most of the things I had in mind, but how should we think about this interest expense run rate going forward? Is this the combination of the actual interest expense and the amortization of the discount, is that $3.3 million sort of the run rate we should think of or not?
Mark Smith: No. It will come down somewhat. It will come down for two reasons. Got a little bit of disjoint to this quarter because we had some of the earlier retirements that took place during the quarter as well with lower balance we’ll have a lower cash interest rate. So, but the non-cash portion and the non-cash portion will come down from the Q1 amount and then the cash interest more importantly will also come down as a consequence of the lower outstanding debt balance.
James Medvedeff – Cowen & Co. LLC: Okay. Maybe I can follow-up later and get up a more sort of specific, is it half as much or can you give any sort of guidance as to how much it comes down?
Mark Smith: Sure. The cash interest will be 7.5% [times] $35 million and we can elect through sort of the math on the non-cash interest, but that will be more akin to, call it $600,000 to $700,000 on a going forward run rate.
James Medvedeff – Cowen & Co. LLC: Okay, thanks.
Mark Smith: Rather two together for the cash and non-cash interest rate.
James Medvedeff – Cowen & Co. LLC: Okay, good. The other questions I have was to follow up a little bit on the corn question. If I’ve heard you right, we sold $2.4 million of corn inventory, is that right?
Mark Smith: Correct.
James Medvedeff – Cowen & Co. LLC: And so when I look at that cost of goods sold, $4.5 million, is there a loss on that corn?
Mark Smith: The corn is essentially – we actually made a slight profit on the corn may continues to be some direct operating cost at the Luverne facility, because we continue what Pat has described to do commissioning work at the facility. We are going to make a lot of profit as a corn reseller, but we did make some profit when you net out the cost of acquiring the corn and the – of unwinding of the corn future.
James Medvedeff – Cowen & Co. LLC: So help me on the cost of goods sold then. What does that relate to normally grants and collaboration type revenue would carry 100% gross margin, and any sort of production costs would show up somewhere else?
Patrick R. Gruber: The majority of the red – the cost in the – cost of goods sold are the normal things associated with running the plant that include just, yeah, on a non-cash basis they include the depreciation, they also include cost of the direct labor if working at the plant and then you domestically repairs, maintenance, supplies and other, which are really the cost that Pat described as ongoing commissioning of the people directly working on the facility, they don’t go into capital, because they’re not construction type costs and they don’t go into SG&A, because those folks are directly assigned to the facility.
James Medvedeff – Cowen & Co. LLC: Okay. And then finally on the resigning plant. What’s the timing and economics of that, I know Toray is paying the bill that how did the economics work out and when do it looks the timing?
Patrick R. Gruber: Well, we’ve already got received money last year from Toray, which we disclosed is being $1 million and that’s more than enough to cover the cost of building the paraxylene, the bio-paraxylene assets, pilot plant down in [Clichy]. In addition to that we will supplied the bio-paraxylene material made from the isobutanol at the facility that will generate incremental revenue and we will, the plan is we intend to shift the initial product there before the end of 2013, before the end of this year. Remember we also use that facility to produce the bio-jets for the military, military being the government entity don’t repay you, they don’t give you up front money like the Toray done, but there we generally are reimburse to a $59 of a gallon price of the jet fuel and that cost is meant to cover the cost of producing the material and then indirectly that also covers the cost of constructing the bio-jet facility down at (inaudible).
Mark Smith: As Pat described we’ve got a couple of contract in this quarter, we previously announced that we got a 45,000 gallon contract with the Air Force and we ship them about 6.5000 gallons in this first quarter. We also have an additional contract with the Army, which he have started shipping on to yet net up to $12.5000 galloon, we would expect to meet those shipments basically in this 2013 year.
James Medvedeff – Cowen & Co. LLC: Okay, great. Thanks a lot.
Operator: Thank you. The next question comes from the line of John Quealy from Canaccord Genuity. Please go ahead, your line is open.
John Quealy – Canaccord Genuity: Good afternoon, guys. Hey Mark, just back to the revenue line, if you don’t mind, what do you think about projecting forward or what things we should consider in 2013 splitting corn, splitting some DoD type business. How should we look at it, is this corn number, it sounds like you’re going to go out and buy corn and resell it rather than take out inventory you don’t have that much. So how should we think about the constituent pieces of corn versus DoD and other revenues this year?
Christopher Ryan: We haven’t given specific revenue guidance, but clearly we’re not – what we’ve been doing here is managing our working capital obviously with higher price corn that was expected to carry that and we’ve reduced that inventory. We will see – we might see some additional small sales of corn just to further balance out the inventory but you’re not going to see significant quantities, we have essentially got the corn inventory down to where we’re comfortable as we move forward with the production plan that Pat outlined. I will call it generally R&D revenue that will continue with – and we will continue with certain grant revenue at levels very similar to what we have seen through the first quarter. The DoD revenue which is the selling of the Jet Fuel, we haven’t given a quarter-by-quarter guidance but just in the swinging to Jim I mentioned that there’s approximately 39,000 gallons of materials yet to ship to the airport and up to 125,000 gallons material shipped to the army under agreements we had in place, whether they all get done by the end of 2013, or dribble into 2014 as a matter of how rapidly the air force and the army can take the product. Those are the revenues that is sort of we can direct the comment to we haven’t given any guidance and on revenues we might generate from direct sales of isobutanol those that could clearly going to follow the path of production that Pat outlined in his remarks. And then lastly in terms of new strategic relationships or expansions of existing ones obviously in the next couple of months and quarters, it sounds like it’s an operational focus of what you have. But can you talk a little bit more about your outreach efforts and all these litigations is settled down hopefully a little bit in the near-term. What sort of milestones or things we should be thinking for you guys as you get into the back half 2013 for sort of new growth outreach efforts for the 2014 and 2015 out years. Thanks guys. Sure, we’ve had a lot of interest like everybody was kind of waiting to see what the outcome of the trial was. So now the comps are off so to speak. We can get on with life. And we’ve had lots of interest from overseas as for strategic partners, strategic investments. Asia today is to be an area focused for us and so we are still sorting out there exactly what went how under what conditions. We also have looked at, we’ve been keen to work at Red Field and doing the engineering and updating the stuff we are still like to pull a trigger our Red Field until we have really confident in what we’re doing at Luverne in terms of the capital numbers not rest. So that is good because quite lot of interest from other folk who have ethanol plants or we have a lots interest from call him Brownfield sites, we have to sort those out. These are the people who have combination of infrastructure, land, money etcetera or interested in building plans. So we have to start all those things out, we just haven’t done it yet, we are working on it.
Operator: Thank you. The next question comes from the line of Michael Klein from Sidoti & Company. Please go ahead.
Michael Klein – Sidoti & Company, LLC: Hey, good afternoon.
Mark Smith: Hey, Michael.
Michael Klein – Sidoti & Company, LLC: Just to sort of follow-up on that last question a bit, in terms of partner financing, is there something specific that these potential partners are looking for, whether that be actually producing, selling or to what extent can you comment on may be what a trigger point could be for potential investor?
Mark Smith: We – so far, that’s not anything specific. They don’t have, they want to – their simple point of view is they want to make money on it. We had people propose things all the way from, they want to finance the plans to they would like to take equity position, to become a strategic investor or do a regional business. So those are the kind of things we’re sorting out. And we’re just getting after it in earnest because now we have time to do it, now we are not dealing with these trials anymore.
Michael Klein – Sidoti & Company, LLC: Right, okay. (Inaudible) in Texas, can you just talk about which costs are recoverable either you’ve already received payment for or through sales price and which cost you don’t get around?
Mark Smith: Mark, take this one.
Mark Smith: Sure, as I mentioned, we got a $1 million in Toray, those costs – that cost goes towards the build out of the facility. The rest of the cost we get, we recover it if you would, through sale of the product, so that’s the sale of the (inaudible) via jet fuel that we make down there, and we recovered that at $59 a gallon when we sell it to the military. And then when we produce (inaudible) material down there and sell that to Toray before the end of this year, we will recover that as revenue as well.
Michael Klein – Sidoti & Company, LLC: Okay, is that all cost that you would be laying out at that plant or are there other cost that fall under again those buckets.
Patrick R. Gruber: No, that essentially cut us all of that cost, the capital equipment cost we recover that as we deploy the capital equipment and when we make jet fuel we recover the jet, we recover the isobutanol – cost of the isobutanol to produce and the cost of using the facility down in (inaudible), we recover that as cost of the jet fuel, likewise using the same path we will recover the cost of actually producing the para-xylene material when we shift that to Toray or any other mine.
Michael Klein – Sidoti & Company, LLC: Okay, in fact just follow up on and your comments on I guess selling product as you bring based the plant on line, I guess in terms of timing am I correct to assume that, so you will bring the plant online in a single train mode first and you will actually start to book some sales before kind of bringing the rest of the plant online and integrating it. Is that correct or not?
Patrick R. Gruber: That will be the correct assumption. Although in the first month or two it’s going to be very variable that single train, because we’re going to be up and down and we’ll be testing parameters to make sure that we understand, what’s going on. But, that train we would expect to continue to run and we can run it even while we bring up the other ones, the other trains and we’ll bring them up. We don’t have to bring all the other parameters all of at the same time. We can do with single train, add a train, add the next train et cetera. And actually we will run them altogether and integrate them. So we’ll be generating – and we have to sell it, so that’s for sure.
Klein – Sidoti & Company, LLC: Okay. Thank you.
Operator: Thank you the next question comes from the line of (inaudible) from Raymond James. Please go ahead your line is open.
Unidentified Analyst: On the facility going back to the prior question, so again I realize you’re not giving volume guidance, but should we assume that any commercial sales from Luverne that will be second half of the year event rather than Q2?
Patrick R. Gruber: That’s a safe assumption, I mean, that’s a practical assumption.
Unidentified Analyst: Okay.
Patrick R. Gruber: It could be that we’re going to get percent, we’ll, by the time the stuff gets, may book our shift on the current affairs probably practical.
Unidentified Analyst: Okay. And I will go back to a comment you made that the rate of production ramp up will depend at least partly on the interplay of isobutanol pricing versus corn pricing. Given the fixed margin structure of your off-take agreements, how should we kind of reconcile that?
Patrick R. Gruber: The way that view is that it’s true that there are fixed margin contract particularly selling the Sasol. Now we have several other markets that we’ve been seeding and putting. We will continue to seed. There is a practical consideration. So what will happen with Sasol is that they have to pass it through in some way to the customers, and they’ve been a good friend of ours and we’re good friend of theirs, and so we’re going to work with them, and not give them too much isobutanol, we don’t want to give them too much isobutanol at ridiculous price. We give them enough and then we could place it. In other words, there will be niches I think in place higher price stuff line, but we don’t want to do is make the assumption just blindly push it forward they’re going to eat all cost. That’s not a particular consideration. It isn’t the way to treat a partner. So in other words, this only matters to us if we’re at really high corn prices again.
Unidentified Analyst: Right. I guess how high, so we’re in…
Patrick R. Gruber: 750.
Unidentified Analyst: So at today’s corn would there be any kind of capital limit on how much you can shift to FFO?
Patrick R. Gruber: From a – what’s to be a smart question by the way?
Unidentified Analyst: Mid 6s.
Patrick R. Gruber: Yeah, mid 6s is still kind of high, but the way that’s worked for the business development is that we have to give more qualities, then they have to place it on the customers then we’ll continue to ramp it up. We can’t run full blast instantly and hand it to them. But it will be – there is business there at that kind of level of corn price. I just don’t know the ramp rates because I don’t know how everyone, the whole system has agreed to skip that all the way through.
Unidentified Analyst: Okay. Last question from my end is, you mentioned that there are various venues to raise capital, not just necessarily straight equity. From a project finance standpoint, as you talk to potential lenders, what sort of validation do they want to see from Luverne for a project financing to be a viable option, I guess, vis-à-vis Redfield.
Patrick R. Gruber: I'm not so sure, I mean, regarding – independent of Redfield, I can answer it. I’ve seen a range of people who are all the way from single train mode, seen it operate because it basically proves the technology, right, because you got the full scale system. The rest are duplicates really. So there are some people who are in that mindset and there are others who are like (inaudible) and so it’s great for you to come talk to us.
Unidentified Analyst: All right. I appreciate it, guys.
Patrick R. Gruber: Yeah.
Operator: Thank you. I would now like turn the call over to Mark Smith for closing remarks.
Mark Smith: Thank you very much for participating in our first quarter conference call. We look forward to updating you on our progress as we move forward and particularly at the end of the second quarter and for our second quarter conference call. Thank you very much and we will update you as events unfold. Good afternoon.
Operator: Thank you joining today’s conference. This concludes the presentation. You may now disconnect. Good day.